Operator: Good morning and welcome to Dominion’s second quarter earnings conference call. On the call today, we have Tom Farrell, CEO; Mark McGettrick, CFO; and other members of senior management. [Operator instructions.] I would now like to turn the call over to Tom Harlin, vice president of investor relations and financial analysis, for the Safe Harbor statement.
Tom Harlin: Good morning, and welcome to Dominion’s second quarter 2013 earnings conference call. During this call, we will refer to certain schedules included in this morning’s earnings release and pages from our earnings release kit. Schedules in the earnings release kit are intended to answer the more detailed questions pertaining to operating statistics and accounting. Investor Relations will be available after the call for any clarification on these schedules. If you have not done so, I encourage you to visit the investor relations page on our website, register for e-mail alerts, and view our second quarter 2013 earnings documents. Our website address is www.dom.com. In addition to the earnings release kit, we have included a slide presentation on our website that will guide this morning's discussion. And now for the usual cautionary language. The earnings release and other matters that will be discussed on the call today may contain forward-looking statements and estimates that are subject to various risks and uncertainties. Please refer to our SEC filings, including our most recent annual report on Form 10-K and our quarterly report on Form 10-Q, for a discussion of factors that may cause results to differ from management's projections, forecasts, estimates, and expectations. Also on this call, we will discuss some measures of our company's performance that differ from those recognized by GAAP. Those measures include our second quarter 2013 operating earnings and our operating earnings guidance for the third and fourth quarters of 2013, the full year 2013, as well as operating earnings before interest and tax commonly referred to as EBIT. Reconciliation of such measures to the most directly comparable GAAP financial measures we are able to calculate and report are contained on schedules 2 and 3 and pages 8 and 9 in our earnings release kit. Joining us on the call this morning are our CEO, Tom Farrell; our CFO, Mark McGettrick, and other members of our management team. Mark will discuss our earnings results for the second quarter of 2013 and our guidance for the third and fourth quarters. Tom will review our operating and regulatory activities for the quarter and review the progress we’ve made on our growth plan. I will now turn the call over to Mark McGettrick.
Mark McGettrick: Good morning. Dominion’s operating earnings were $0.62 per share for the second quarter, compared to our guidance range of $0.60 to $0.70 per share. Earnings for the quarter were impacted by lower than expected kilowatt hour sales at Virginia Power, a function of both milder weather and lower than expected economic growth in our commercial and governmental sectors and operating losses at our producer services business, driven by large basis declines. GAAP earnings were $0.35 per share for the quarter. The difference between second quarter GAAP and operating earnings were driven by the following charges. First, we recorded a charge of $70 million associated with the sale of our Brayton Point and Kincaid power stations. The majority of this charge was driven by cost to redeem debt at both facilities. We expect to close this transaction in the third quarter of this year, with only FERC approval remaining. Second, we decided to exit all activities in our producer services business except fuel management services for Appalachia producers and Dominion affiliates. Emerging shale production has fundamentally changed the regional gas markets, all but eliminating seasonal and locational pricing variations. The mark-to-market value of our open forward positions results in a charge of $24 million. We expect to sell the majority of these positions by year-end. In addition, we terminated lease agreements for two small gas processing facilities in Ohio and West Virginia, and we’ll mothball these units over the next two years. These plants were built before the Utica and Marcellus shale potential was known and are not large enough to economically accommodate high-volume shale wells. Finally, we reflected a $17 million charge in support of our operation and maintenance expense reduction program. A reconciliation of operating earnings to reported earnings can be found on schedule 2 of the earnings release kit. Before moving to operating segment results, let me spend a minute on sales growth. As we discussed on our last earnings call, first quarter kilowatt hour sales in our Virginia Power service territory were below our expectations. Based on the momentum in new connects and economic activity we had seen in the second half of last year, we had expected about 1% weather normalized growth from our traditional customer base and another 1% increase related to data centers. However, total weather normalized sales growth in the first quarter was about 1%, and growth in the second quarter was less than half that amount. We are very pleased that weather normalized residential sales were nearly 2% higher than the same period last year and our data center growth for the same period is up over 12%. However, we are seeing a significant shortfall in commercial and governmental sales versus our expectations. It appears this shortfall is driven by lower commercial sales in northern and eastern Virginia and a dropoff in usage by governmental customers in Hampton Roads. These areas are the most susceptible to impacts from the federal sequestration due to their high military and government support presence. We believe it is too early to say if these trends will be short term or have a longer term impact on sales. As we stated on our first quarter call, we will be lowering our operating expenses by $100 million to safeguard against a potential sales decline versus our original expectations. As we will discuss in a moment, most of these expense reductions will occur in the third and fourth quarters. Now, moving to results by operating segment, at Dominion Virginia Power, EBIT for the second quarter was $254 million, which was outside its guidance range. For electric distribution, kilowatt hour sales were below expectations, partially due to lower than expected load growth and milder than normal weather. Also, in early June, our electric distribution business experienced a storm that affected 330,000 customers. The cost of [unintelligible] for this storm was another driver of the lower results. Electric transmission exceeded guidance due to a rider revenue true up and higher rate base. EBIT for Dominion Retail was in the upper half of its guidance range. Weaker than expected results from the core business were offset by the monetization of a book of business in Illinois due to our decision to redeploy our capital into other markets. Retail is a maturing business, and you should expect us to routinely shift resources to states where we receive better current and future returns and away from those with lower returns. Second quarter EBIT for Dominion Energy was $201 million, which was in the lower end of its guidance range. As I mentioned earlier, we have exited most activities of our producer services business due to the changing fundamentals in the region. The significant price volatility experienced as we were derisking producer portfolio resulted in a $12 million EBIT loss, accounting for most of Dominion Energy’s shortfall for the quarter. Dominion Generation produced EBIT of $298 million in the second quarter, which was in the lower end of its guidance range. Lower than expected kilowatt hour sales and mild weather were the principal factors driving the lower results for the regulated generation business. EBIT from merchant generation was just above the midpoint of its guidance range. On a consolidated basis, both interest expenses and income taxes were below our estimates, benefitting earnings for the quarter. Moving to cash flow and treasury activities, funds from operations were $1.8 billion for the second quarter. Regarding liquidity, we have $3.5 billion of credit facilities. Commercial paper, and letters of credit outstanding at the end of the quarter were $2.1 billion, and taking into account cash and short-term investments, we ended the quarter with liquidity of $1.5 billion. For statements of cash flow and liquidity, please see pages 14 and 27 of the earnings release kit. Now, moving to our financing plans, we issued $1.1 billion of mandatory convertible securities in June. We were pleased with the market’s response to our offering, and thank those of you who participated. Our financing needs for the remainder of the year include about $600 million of debt for Virginia Power and $750 million to $1.2 billion of debt for the parent company. Portions of these issuances will be used to meet maturing obligations. We have locked in treasury rates through hedges for most of these planned issues, and the majority of our plan issuances for 2014. Now to earnings guidance. As we have discussed on our previous calls, the bulk of our year over year operating earnings growth is expected to occur in the second half of the year, particularly in the fourth quarter. For that reason, we are providing detailed guidance this morning for both the third and fourth quarters of 2013. This should demonstrate that despite being in the lower half of our guidance ranges for the first and second quarters, we still expect to deliver full year operating earnings per share in the middle of our $3.20 to $3.50 per share guidance range. We estimate operating earnings for the third quarter of 2013 within a range of $0.85 to $0.95 per share. This compares with original operating earnings of $0.92 per share for the third quarter of 2012. As shown on slide seven, positive drivers for the third quarter include earnings for gas transmission projects, the absence of last year’s Long Island Sound heat-related outage at Millstone, and higher rider-related revenues. In addition, you should expect a reduction from our originally planned operating expenses of about $30 million. Negative drivers for the quarter include higher interest expenses and higher utility generation outage expenses. We estimate operating earnings for the fourth quarter of 2013 to be in a range of $0.95 to $1.05 per share. This compares with our originally reported operating earnings of $0.69 per share from the first quarter of 2012. The $0.31 increase from last year’s fourth quarter to the midpoint of this year’s range represents most of our year over year growth we expect for all of 2013. Let me walk you through the drivers of this growth, which are detailed on slide eight. To remove the unique items from last year’s $0.69, we subtract $0.08 per share from last year’s initial asset drop into Blue Racer. Then we add back $0.05 per share of weather hurt from last year, and $0.10 per share due to last year’s refueling outage at Millstone. We are also announcing today that we plan to contribute the TL-388 pipeline to Blue Racer in the fourth quarter. This drop was not originally anticipated and will add $0.08 per share in the fourth quarter. The bulk of the operation and maintenance expense cuts we discussed on the last call will show up in the fourth quarter, adding another $0.05 per share. The next step on the chart shows our normal earnings drivers, which include sales growth, higher rider revenues, and earnings from Blue Racer and our gas infrastructure projects. And finally, we note the loss of $10 million in anticipated earnings from our producer services business, offset by a $10 million fourth quarter pickup due to the expiration of the Millstone generator tax. Our operating earnings guidance for 2013 remains $3.20 to $3.50 per share. Operating earnings for the first half of 2013 were $1.44 per share. Adding the midpoints of our ranges for the third and fourth quarters to the year to date earnings will take you to the middle of our guidance range for the entire year. As to hedging, you can find our hedge positions on page 29 of the earnings release kit. Since our last earnings call, we have increased our Millstone hedge position from 73% to 80% for 2014 and from 48% to 58% for 2015. Please note that for our 2014 hedge positions, we show good growth over previous years. 2014 hedge prices are over 5% higher than 2013, with 80% of the volume hedged. So let me summarize my financial review. Operating earnings were $0.62 per share for the second quarter, compared to a guidance range of $0.60 to $0.70. Lower than expected commercial and governmental sales growth and mild weather at Virginia Power, as well as lower contributions from our producer services business, were the main negative drivers for the quarter. Our operating earnings guidance for the third quarter of 2013 is $0.85 to $0.95 per share. Earnings from our growth projects and reduced operating expenses should drive these results. Our operating earnings guidance for the fourth quarter of 2013 is $0.95 to $1.05 per share. Normal weather, the absence of a Millstone outage, a new asset drop into Blue Racer, and reduced expenses should drive the higher year over year results. And finally, our operating earnings guidance for 2013 remains $3.20 to $3.50 per share. I will now turn the call over to Tom Farrell.
Tom Farrell : Good morning. Each of our business units achieved year over year improvements in operations and all but one group improved on record-setting safety performance. The second quarter net capacity factor of the six remaining Dominion nuclear units was 93%. Until our April 7 shutdown of North Anna Unit 2, for a scheduled refueling outage, all seven of our then-operating nuclear units operated continuously for 125 days. Millstone 3 achieved a breaker to breaker continuous run of over 500 days. We continue to move forward on our growth plans. Construction of the 1,329 megawatt Warren County combined cycle plant is progressing on schedule and on budget for a late 2014 commercial operation date. Overall, the project is 43% complete, engineering is 91% complete, procurement is 99%, and construction 35% complete. About 1,400 people are presently employed at the site. Last week the Virginia State Corporation Commission approved the company’s CPCN and rider applications for the Brunswick County Power Station. The final notice to proceed was issued [to floor] yesterday, and we will immediately begin construction of the 1,358 megawatt three on one combined cycle facility and expect it to be in service by mid-2016. The conversion of the Altavista, Southampton, and Hopewell plants from coal to biomass are progressing on schedule and on budget. The Altavista plant was placed into service last month. The remaining projects will be operational later this year. We have a number of electric transmission projects at various stages of regulatory approval and construction. For example, last week a hearing examiner recommended approval of the Skiffes Creek line to support reliability in Hampton Roads. Our plans include new investments of over $500 million per year in growth projects, including the systematic rebuild of the 500 KB loop that is the backbone of our transmission network. Progress in our growth plan for Dominion Energy continues. The natrium processing and fractionation plant was placed into service in May. The Utica region continues to be very active. Through mid-July, a total of 789 horizontal Utica permits have been issued, and 387 wells have been drilled, an increase of 187 wells permitted and 90 wells drilled since the middle of April. The management team at Blue Racer is actively marketing gathering and processing services to the producers in the Utica region. A 200 million cubic feet per day processing plant has been ordered to expand the capacity of natrium and construction commences this quarter. This facility will provide a service we had originally planned to fund ourselves that we had called natrium 2. Blue Racer has also ordered a second 200 million cubic feet per day processing plant that will be delivered to the [burn site] this fall. To enhance Blue Racer’s gathering capacity, we plan to contribute the TL-388 pipeline to the joint venture in the fourth quarter. A filing with FERC to abandon by sale was approved on July 24. Blue Racer is finalizing multiple agreements in the southern Utica region, with the potential for 150,000 to 200,000 acres to be dedicated to the joint venture, which will be more than enough at full production to support both the natrium phase 2 and burn processing plants. As we have stated previously, in addition to growth projects at Blue Racer, we will also have growth projects along the Dominion system. For example, last week Dominion East Ohio signed binding precedent agreements with two customers to provide firm transportation services for over 300 million cubic feet per day from the outlet of a new Utica gas processing facility into nearby interstate pipeline interconnects. We expect to place this $90 million project into service in the fourth quarter of 2014. Also, last quarter Dominion Transmission announced a nonbinding open season to solicit interest in incremental firm transportation capacity to serve our traditional markets in New York State. The project contemplates access to the growing supply in the northern portion of the DTI system and delivering it to the Iroquois gas transmission system and to Niagara Mohawk, serving Albany, New York. We have seen significant interest and anticipate signing precedent agreements later this year. We continue to make progress on our Cove Point liquefaction project. Last quarter, we reported on our board’s final investment decision, the signing of the terminal service agreements and EPC contracts, and the full filing with FERC and the Maryland Public Service Commission. In May, the Department of Energy issued an export license to the Freeport LNG project, moving us up to second place in the queue. Subject to regulatory approvals, we expect to commence construction in 2014 with commercial operation expected in late 2017. Before we open the call for questions, I will give an update on the 2013 biannual review. Interveners submitted their testimony last week, and it is important to note that no intervener, including the Office of Consumer Counsel, opposed the company’s position, that Virginia Power’s base rates are not subject to downward adjustment because we did not earn above the authorized ROE ban. We expect to receive the staff’s testimony later this month. Hearings are scheduled in September and a decision from the commission is due by the end of November. To summarize, our business has delivered strong operating and safety performance in the second quarter. Construction of the Warren County power station is proceeding on time and on budget. Construction will begin immediately on the Brunswick County power station. Our Blue Racer joint venture is operating as expected, and both it and Dominion Transmission are capitalizing on the growth opportunities in the Utica and Marcellus Shale regions. And we look forward to receiving our export license from BOE by the end of the year and regulatory approval to begin construction of our Cove Point liquefaction project. Thank you, and we are ready to take your questions.
Operator: [Operator instructions.] Our first question will come from Dan Eggers with Credit Suisse.
Dan Eggers - Credit Suisse : Could you give us a little more detail on your O&M cutting plans, kind of maybe a little more detail on what’s going in to get the $100 million out? And as you guys are getting into the program, are you seeing room for additional savings beyond that number at this point?
Mark McGettrick : The $100 million is really broken down in three main areas. About $50 million is coming from a reduction in staffing contractors and a remeasurement of our pension and OPEB. And let me just touch base on that for a second. We’ve had some staffing reductions around our service territory to address this. Those are essentially complete. We have reduced contractors in support of our maintenance and our capital work and those are also complete. And because of the significant change that has occurred in our staffing levels with the disposition of our [merchant] plants, specifically Kiwani, Break Point, Elwood, and Kincaid, as well as these incremental staff reductions that I just mentioned, we took a remeasurement of our pension and OPEB obligation in June, which will also support that $50 million annual savings due to staffing, contractors, and pension/OPEB. So that’s the first piece. The second piece is we’re going to reduce between $10 million and $15 million in administrative and general expenses in support of our business units. That process is well on its way and will be completed here shortly. And the remaining reductions are spread across the company in maintenance and in outage expense from all of our business units. So in aggregate, that is the key breakdown for the O&M. Now, in terms of longer term, we would expect this level of reduction to be able to be carried forward beyond this year.
Dan Eggers - Credit Suisse : And are you guys seeing more savings opportunities as you get into this? You have a bunch of companies this quarter who have talked about additional cuts and kind of bigger changes to retirement and healthcare benefits and that sort of stuff to try and manage the slow growth environment.
Mark McGettrick : Well, I think if you look across the spectrum our operating expenses versus our peers are quite low in comparison. And I think as we’ve gotten into this, the $100 million level has been achievable for us, but we really haven’t seen anything incremental to that based on the plans we have thus far.
Dan Eggers - Credit Suisse : And then on the producer services business exit, can you just walk me through for the full year how much earnings you guys expected from that business? And then will there be any residual costs beyond the exit and the charge you guys took this quarter?
Mark McGettrick :
Dan Eggers - Credit Suisse : And then just on the retail business you guys have exited Illinois entirely. Where are you guys seeing opportunities in that business, and are there signs of margins stabilizing at this point?
Mark McGettrick : Let me ask Paul Koonce to answer that.
Paul Koonce: We’re seeing continued opportunities, clearly, in Texas. That’s been a good market for us. We were recently ranked number one by JD Power in the Baltimore market area. We’re seeing good customer growth in the Baltimore area as well as in Ohio. And we continue to have a lot of customers we continue to serve in Pennsylvania. Illinois, we just never made any progress, and so it just made sense for us to make sure that we’re focusing our efforts on where we can see customer growth.
Dan Eggers - Credit Suisse : And then I guess just one last question on the Blue Racer side of the business. How should we think about additional asset moves from Dominion into Blue Racer over the next 12 or 18 months? Is there a list or something we should track to figure out when they make sense to transfer over?
Tom Farrell : The longer we’ve spent with our partners at Caiman in the Blue Racer joint venture, the more opportunities we’ve found. There’s a lot of gas, as we’ve mentioned. There’s a big increase in wells being permitted, a big increase in wells being drilled, particularly in the Utica. We have a lot of assets sitting there in Ohio, where we have this geographic region. TL-288 wasn’t contemplated as we started the year, so it’s an example of the kind of thing. That’s a pretty significant one. But we’re finding other opportunities we can either build or find other assets we have to contribute. And I think it’s also important to recognize that the Blue Racer partnership with Caiman, we’re very pleased with it, but it’s only limited to eastern Ohio and a few counties in Pennsylvania. We have geographic regions in Pennsylvania, West Virginia. Ultimately we are expecting, at some point, New York State, which we have a lot of assets to open up to drilling. So I’m answering a little bit broader than your question. I think Blue Racer shows us the opportunities there are in this business, and not just in that JV, but in other areas.
Operator: Our next question will come from Steven Fleishman with Wolfe Research.
Steven Fleishman - Wolfe Research : Just to follow up on that last question, you mentioned other opportunities in the other regions outside Ohio. Is it possible we might hear something on similar ventures for those in the near future?
Tom Farrell : I’m not going to predict when you might hear something. We’re managing the business as we have, but we’re always trying to look at other areas. So I don’t want to give a timeframe around it. But we have a variety of things we’re looking at.
Steven Fleishman - Wolfe Research : On the sales issue, to the degree that you determine that the sales weaknesses sustained due to sequestration or whatever the issue is, how should we think about that in the context of meeting your 5% to 6% growth rate long term?
Tom Farrell : That’s a very good question. If you break it out, you see that the residential sales growth was pretty good, just about 2% in the quarter. Data centers was quite good, 12%, I think, in the quarter. The issue has shown up in commercial sales. Governmental we actually don’t expect to be a long term issue. We think that was anecdotal to the quarter for a variety of reasons. The commercial, though, is an issue that we’re looking at very carefully in northern Virginia, in particular eastern Virginia, around the naval base and the air bases and things we have in that part of the state. Commercial sales can come back quite rapidly. So we don’t know. We’re not going to make any judgments about what’s going on with our sales growth based the anomalies in the second quarter. But we are watching it carefully. As far as the overall 5-6% growth, we have a lot of things going on at our company. We have, you’ll see merchant growth next year in the power prices we have. Finally, we’re through the trough of declining portions in merchant power with the sale of the fossil assets, which we will close on this quarter. We have Blue Racer opportunities, we have other opportunities in gas infrastructure. We are not unaware of what other companies are doing with financial structures. So we’ve got lots of things we’re looking at. We have rider revenues. Brunswick was just approved, for example. We expect to come through the biannual review as we said previously, with our base rates intact. We have electric transmission growth projects. So you take all the pieces together. We don’t see any reason to change our 5-6% earnings growth targets at this time. If the sales issue continues, and if we conclude that it’s longer term, we’ll take a look at what that means in the overall context, but we aren’t anywhere near that point right now.
Steven Fleishman - Wolfe Research : Just one last quick question on any kind of more color on DOE and LNG export? I think we’re maybe kind of past the 60 days since the last approval.
Tom Farrell : Yeah, we are. Just to make sure we’re all on the same page, Steve’s referencing, of course, when the last permit was issued in May, one of the assistant secretaries at DOE said they thought they were in a position to issue these permits ongoing, about every 60 days or thereabouts. We are past that 60-day window. Secretary Moniz in the interim has been appointed, confirmed. He’s reorganized the department. He’s getting to know his folks. He has said recently that he’s examined the studies that were done on the economic impacts for non-free trade agreement countries, and indicated that no more studies are needed, that that study was adequate for their purposes. He examined the Freeport permit process, found that to be properly done. So, all that said, we don’t have any particular information that you don’t have, but we anticipate more action from the Department of Energy pretty soon. And we’ve said since March, when we had our analyst day, that we expected to get the DOE export permit during 2013, by the end of this year. And we still think that’s the right timeframe.
Operator: Our next question will come from Paul Fremont with Jefferies.
Paul Fremont - Jefferies: It looks like retail is already, year to date, at the low end of your guidance range. Should we expect a further decline in the remainder of the year in retail? Or is retail going to be flat to last year for the second half?
Paul Koonce: You know, if you look at where it is, and then you look at the third and fourth quarter, when you look at the third quarter last year and the fourth quarter last year, they actually had lower than expected margins because of some of the mark-to-market value that came in the second quarter 2012, so that when you do a full year comparison, what you ought to see is retail still hitting within this guidance range.
Paul Fremont - Jefferies : And then I guess I’m not quite understanding on producer services. You’re talking about sort of an ongoing contribution of $15 million to $20 million. Where’s that coming from?
Paul Koonce: You know, producer services, over the years, really engaged in a number of activities. One was the supply management, the transportation and storage management, for mid-Atlantic and northeast utilities. That’s the activity that we’re stopping. There really is no value for us to add in that procurement process. The activities that will continue are really fee-based services for small Appalachian producers. Now, granted, in light of the Marcellus and Utica, it’s a pretty small subset of producers, but they still pay our Dominion field service team a fee for getting gas from point A to point B, aggregating that gas, and really that’s what we’ll continue to do, in addition to really focusing on the gas supply procurement activities for our Virginia Power fleet and our [unintelligible]. As we’ve built out our gas fleet, that has become a much more important activity, and so we’ll really be focusing our resources on that.
Paul Fremont - Jefferies : And my last question is, I guess you showed about $1.5 billion of interest rate swaps at the end of the first quarter. Is that mostly floating effects, or what makes up those swaps?
Mark McGettrick : It’s a mix. Some of it is fixed to floating, which we’ve talked about, and we really initiated a number of years ago. That’s the majority of it. But also some of that is reflected in hedging for future issues that we have for both ’13 and ’14 in terms of anticipated debt issues.
Paul Fremont - Jefferies : So how much of that would be fixed to floating, like on a percentage basis?
Mark McGettrick : I don’t have that in front of me. We’ll follow up with you after the call on that.
Paul Fremont - Jefferies : Okay, and is there any concern there about the effect of rising interest rates on those positions?
Mark McGettrick : No, really not. They’re fairly short term dated. And I have to tell you, when we put those on three years ago, four years ago now, they have just been terrific for us, and they continue to be. So they’re not longer term dated to give us any concern on any significant rise.
Operator: Our next question comes from Stephen Byrd with Morgan Stanley.
Stephen Byrd - Morgan Stanley : I wanted to just look longer term at your generation needs beyond Brunswick. And thinking about if you’re in a more muted low growth, perhaps 5% or 1% low growth, can you talk broadly about, as you think about more generation requirements down the road, how should we be thinking about that longer term?
Tom Farrell : Well, we file an IRP every year that keeps us up to date. PJM does its own analysis. We’re still in a deficit situation in Virginia. We are still catching up with what happened over the course of an entire decade, 2000s, when nothing was built in the state whatsoever, and we had very rapid growth. So we’re still in a deficit situation. We’re catching up with that. Brunswick is an important part of that. But you need to remember, Brunswick is only replacing plants we’re shutting down. Brunswick didn’t gain us any ground at all on our short position. We had to shut down the Chesapeake plants and two of the three units at Yorktown. And Brunswick is just making up that deficit. So we’ve got a long way to go. Our plan shows another combined cycle later in this decade. We’re continuing our development of north Anna unit three. We don’t know what will happen with that. So I think you should expect to see this plan continuing through the balance of the decade, and our planning horizon hasn’t gotten into 2021 yet.
Stephen Byrd - Morgan Stanley : Understood. And just following up on thinking about low growth, you had mentioned Hampton Roads in your remarks, about slowdown in governmental customers. When you all think about further government slowdown in spending, not just in the military heavy Hampton Roads area, but also in the Virginia as well, do you have a sense for the outlook for power demand from the governmental side of things under a variety of scenarios? How much of a risk or an opportunity is that going forward over the next 12 months?
Tom Farrell : Well, government load for us is larger than you’ll find at many utilities. It’s about 10%. But by contrast, we have a much lower industrial load than many utilities have. I think I said a few minutes ago that the slowdown in governmental load in the Hampton Roads area that we saw in the second quarter we think is an anomaly, and do not expect that to continue. There’s a variety of reasons around that. The issue is more concentrated really in northern Virginia, the commercial sector, which is where what they used to call the Beltway Bandits are, the defense contractors and all the think tanks that are there serving the government. So we’re going to watch that very closely and see how it progresses over the course of the year, but we do not expect to change the overall need to close the gaps we have in generation in Virginia. It’s not that it’s [not] an important part of our growth, but it doesn’t overwhelm the rest of it. Keep in mind, our residential usage grew 2% year to date, which is pretty healthy. And that’s 40% of our load.
Operator: Our next question will come from Paul Patterson with Glenrock Associates.
Paul Patterson - Glenrock Associates: Just on the sales growth, the numbers that you were giving, Mark, was that weather-adjusted?
Mark McGettrick : It was weather-normalized, on slide 4 of the deck.
Paul Patterson - Glenrock Associates : And then in terms of the data centers, that’s in what, commercial? Or governmental?
Mark McGettrick : It’s shown in commercial, but we show it on this slide separate, because we thought it was important. Data centers, we’re still seeing very, very strong growth, so we broke it out of commercial. Otherwise, commercial would show a growth of about 0.8 of a percent, almost 1%. And I think that masks what the real commercial growth is, so we broke it out separate and showed data centers separately. It’s at 12%, and commercial growth slightly negative for the year.
Paul Patterson - Glenrock Associates : And then with the Brayton and Kincaid, just what happened there? I thought you guys would have already [brought] this thing down and you’ve got the sales set up, so I’m just wondering what happened, and is that sort of finally over?
Mark McGettrick : Nothing really happened. We were hoping that the sale would be complete in the second quarter, waiting for FERC approval. FERC has a defined timeframe in which they review these, and it actually doesn’t expire until the middle of September. But we thought we might get it in the second quarter. So we’re going to wait and go ahead and retire into fees that debt at the same time we got the proceeds in. But because it wasn’t approved, we decided to go ahead and take care of that and just get it behind us. It was part of our plan initially, it was part of our financing plan initially, so we just went ahead and took care of that one open item in the quarter.
Paul Patterson - Glenrock Associates : And then finally, just on Millstone, just a quick question, the expiration of the Millstone tax, just what’s the expected annual impact of that? And also, with the [unintelligible] reliability issue associated with natural gas that they’re talking about in terms of some little changes potentially in terms of fuel supply for fossil power plants, just how do you see that impacting the market in New England? I know you guys are nuclear, but just in general, does that benefit you guys in the future? Or are we already seeing it pretty much right now in the market?
Tom Farrell : Let me answer the first part of that question, and Dave Christian will answer the second part. The first part, in terms of the tax, the tax was a burden on us of about $40 million a year, in a normal operating year. It’s based on run time of the units, so [playing out], it’s just good to change that a little bit. But that tax will expire in the third quarter, and so that will go away. That’s what we showed on one of our slides today, that in the fourth quarter we would have a pickup year over year of about $10 million.
David Christian: Yeah, and on the [unintelligible] New England reliability studies that are underway, we’ve got market policy people that are participating in that process because we’re a key stakeholder. But I think fundamentally, we’re not seeing anything negative coming out of that, that we are absolutely participating in the stakeholder process.
Paul Patterson - Glenrock Associates : Would you stand to benefit, though? It would seem that the [calls would be pushed upon] merchant gas guys, and you guys are not really fossil.
David Christian: Yeah, we’re essentially base load running all the time. I think it would be speculative to predict any particular upside to that.
Tom Farrell : I’ll just remind you, the only gas unit we have left in the northeast is Manchester. It’s already dual fuel, so it has a lot of optionality that some of those other units don’t have.
Operator: Our next question will come from Jonathan Arnold with Deutsche Bank.
Jonathan Arnold - Deutsche Bank : I have one question on the TL-388 drop down, and just sort of parsing that back to the Blue Racer trajectory slide that you gave at the analyst day. Is this something that would have been part of the 14-15 outlook, and it’s being pulled forward? Or is this an asset that wasn’t really contemplated for the drop down before?
Tom Farrell : It’s an asset that was not contemplated. It is not a pull forward from the 2014 or 2015 plan.
Jonathan Arnold - Deutsche Bank : So as we look at that, it should be incremental, then, to that slide?
Tom Farrell : Correct.
Jonathan Arnold - Deutsche Bank : And then on the third quarter, you referenced this outage expense number that’s going to weigh on the third quarter, and you listed quite a number of positives that it’s just going to offset. Can you give us a little more color on what’s going on there?
Mark McGettrick : We have a planned nuclear outage scheduled in the third quarter of this year, which we did not have one in the third quarter of last year.
Jonathan Arnold - Deutsche Bank : So it’s just the planned nuclear outage, it’s not performance?
Mark McGettrick : That’s right.
Operator: Our next question comes from Julian Smith with UBS.
Julian Smith - UBS: If you could clarify on the cost cuts, just what’s the annualized impact as it stands today for ’14? I know you’ve talked about a number of different numbers, but just to make sure we’re crystal clear about that.
Mark McGettrick : Well, we told you it was in the range of $100 million annually, and that you should expect $30 million in the third quarter and I think we gave you actually cents per share in the fourth quarter, but if you do the math, it’s about $40 million in the fourth quarter. So we’ve seen about $20 million to $30 million thus far.
Julian Smith - UBS : All right, so the full $100 million annualized by 2014.
Mark McGettrick : That’s correct.
Julian Smith - UBS : And then on the governmental sales, clearly it seems as if sequestration’s impacting it. Was this sort of a one-time drop, and you’re seeing it flatten out? Or is there a continued degradation, if you will, that you’ve seen of late? Just trying to get a sense as to, looking towards ’14 and onwards, if this has sort of happened, that we’re re-baselining, or is there sort of a continual change going on here?
Paul Koonce: Tom mentioned anecdotal evidence on the governmental side in his remarks. What we’re seeing there are two aircraft carriers that are not in port. They prefer we not talk about that, but that’s why we see the drop in governmental sales. We expect that that will return.
Julian Smith - UBS : All right, fair enough. There’s nothing else really driving that? That’s the primary factor?
Paul Koonce: Correct.
Operator: Our next question comes from Paul Ridzon with Keybanc.
Paul Ridzon - Keybanc: You mentioned other companies doing some financial engineering. What are your latest thoughts on that front?
Tom Farrell : Financial engineering? Is that a reference to MLPs, for example?
Paul Ridzon - Keybanc: MLPs, yield [codes]. There’s all kinds of things going on.
Tom Farrell : We’re well aware of what other companies are doing. We’ve looked at MLPs over the years, and concluded in the past that it was not an advantage to our shareholders to start an MLP or have an MLP. We are continuing to examine that issue, taking into account our present market conditions and what our present asset base is.
Operator: Our next question will come from Brian Chin with Bank of America Merrill Lynch. 
Brian Chin - Bank of America Merrill Lynch: Just wanted to be clear on the asset drop downs into Blue Racer. TL-388 is new, but Natrium 2 and [Burn] are not incrementally new. Is that correct?
Tom Farrell : Natrium 1 is an asset that was in the original plan to drop into Blue Racer. Natrium 2 and [Burn] are joint venture project that they’re developing now. They’re not drop downs.
Brian Chin - Bank of America Merrill Lynch : And then also, I think in your analyst day slide deck, you had indicated there was a generic combined cycle gas plant beyond Brunswick. Has there been any update or developments on that? When can we expect to see any developments on that front?
Tom Farrell : That was shown again in the [RP] we filed, and it’s still in the plans. I think if you look at our website, you’ll see in our investor book where that shows up in the development process. Really more ‘18-19 kind of a timeframe that would become operational.
Operator: Our next question comes from Michael Lapides with Goldman Sachs.
Michael Lapides - Goldman Sachs : Real quick, just want to kind of think through the merchant generation business, because now you’re down to really just a handful of assets, obviously one big one. How do you think about that business relative to the broader portfolio, the broader mix of assets and business [unintelligible] and whether you think about that as being kind of core to the long term of Dominion, or not necessarily as big of a contributor and as core as some of your other businesses?
Tom Farrell : It is not as big a contributor as it once was, obviously, but we consider these stations, Millstone, Manchester, [unintelligible] to be core to our continuing operations.
Michael Lapides - Goldman Sachs : But do you kind of think about this business as a business, okay, you’ve now shrunk it and kind of pared it back, and now you would try and grow it from there? Or is it still in the harvest mode for one or two of the assets going forward? Or is it just pure stabilization from here?
Tom Farrell : We’re past harvesting. These are the assets that we want to maintain. And it will grow with the markets.
Operator: This does conclude this morning’s teleconference. You may disconnect your line, and enjoy your day.